Christian Kromann: Thank you very much, and good morning and good afternoon, everybody, and welcome to SimCorp's Q3 Financial Results. First, we have the disclaimers most of you know. But it's still important that we always have that as part of our slide show. The agenda for today is I will go through some of the key highlights from Q3. Then, Michael will take us through the financial review and the outlook and then we will open up for Q&A in the end as always  Let's go first to the key highlights and let me just put a few more verbal remarks to that before we go into the numbers side. So we are coming out of Q3 leading into Q4 with a good momentum, both in terms of new customers, in particular, in North America. And I hope most of you would have also seen the press release coming out this morning announcing a big win in North America. We're also seeing a good move on large strategic deals from existing clients, including the continuation of SaaS transformation and also BPaaS is moving in to being a key part of our value proposition. We have many important client go-lives coming in that also is moving the volume up in terms of customers that are referenceable everywhere in the world, including BPaaSclients. We're investing in line with our plan. And as we have discussed, both at the Capital Markets Day and in other parts of the discussion, the backward-looking ARR number that we currently have and we continue to have in Q4 is somewhat not easy to understand in the context of also understanding the investments. But it's important for us to state that we are investing based on the volume and the pipeline we are seeing from a SaaS transformation point of view as well. We're obviously operating in a very volatile macro environment. And we also believe that there is a high risk due to further delay in sales processes for Q4.But as always, the people that know us Q4 is really an important and very busy time for us. We have a very exciting volume of deals. But obviously, since as long as those deals are unsigned, that also presents a level of risk. But we will come back to that when we talk about the guidance for the full year '22.Let's get into the numbers. So I'm now on Slide number 5, where we start talking about the annual recurring revenue which is now close to €310 million and it's up 15.2% year-on-year in reported currency and 11.3% in local currency. So we continue to see a positive trend even in the backward-looking ARR number. We now have €451 million revenue signed on contract, which is another bump up of €19 million compared to the year-on-year comparison. Now to Slide number 6, which is the Q3 '22 at a glance. We start by looking at the order intake, which is €22.9 million, which is down €4.9 million compared to last Q3. However, the overall revenue growth is up 15.7% in reported currency and 10.2% in local currency, so compared to, obviously, a Q2 that was somewhat slow, we are now back on what I would say is a growth trajectory leading into Q4 as well. The EBIT is €20.2 million. That should -- seen as a consequence, both of the revenue mix in Q3. But certainly, also, as I just said, a clear link into the forward-loading investments we are doing to be able to capture the SaaS opportunities that our pipeline is building up towards. We have a 5% growth in our 12-month rolling software updates as well. So that's good to see that we are seeing both an uptick in terms of new business that we sell. But we're also starting to see some of the pricing effects coming in to our maintenance contracts. And then 24.9% in our professional services, that is moving at a very good pace. As I just said, we have a lot of projects that are closing in on go-live. So a lot of good work is being performed there, so very pleased to see that what 7.4% in local currency. And then the free cash flow, €14.5 million, a decline of close to €10 million compared to Q3 last time, which I think is obviously an overall link of the license component of our revenue, but it's also, of course, a link of the increased investments that we are doing as a company based on what I just said. With that said sum up that for the first nine months of the year now on Slide number 7. We're looking at our order intake of €65.9 million, slightly below last year, which is basically carried through from Q2 and a little bit of Q3 as well. That gives us a consolidated growth of 5.6% in reported currencies and 1.6% measured in local currency. EBIT of -- reported €41.9 million and an order book that has now grown with €23.8 million to €84.3 million as a whole. For the first nine months, we are now looking at professional services growth just below 11% in reported currency and 6% in local currency and free cash flow of €44.7 million, which is a decline and the argument for that is the same as what I just went through from a Q3 point of view. From a new client point of view, we are now on Slide number 8. We added two new customers in two new parts of the world in Q3, one in Malaysia and one in Africa. And then as we announced this morning in Q4, we have now signed a Tier 1 bank, which we are super excited about, on a full SaaS front-to-back value proposition. And in Q3, we also added one more customer through our channel play, that is on Page 9, taking us to four customers through channel play in the full year. I wanted to just take an opportunity to quickly relate back to a couple of the slides from the Capital Markets Day under the heading Investing to Grow. So if we look at Slide number 11, we are relating that back to the size of the market and the share of wallet potential that we have as a company. As you probably would have seen or heard before, we are now relating ourselves to a total addressable market of 1,825. And we have, for the first time, actually quantified what does that market opportunity look like in terms of revenue at the €6.5 billion. And we are also talking about how do we move from our traditional core coverage to including SaaS and BPaaS and some of the other exciting investments we are doing. So we certainly believe that we have a very attractive market fundamentals that support our double-digit growth ambition for the years to come as well. Slide number 12, we are relating that specifically into the North American market. We are deep into the process of hiring a new Managing Director for our North American market. And I hope we're going to be able to announce that before year-end. So that's very exciting. And what is also very exciting is that I think we are starting to see some early positive results from the investment of time and money we've done into the North American market. As you might recall, I talked a bit about the fact that we have recounted and recalibrated our efforts in North America when we announced Q1. When we announced Q2, I started to talk about that the pipeline was growing. And what you can see as of today, we are now starting to convert that pipeline into new markets presence in North America, more specifically through the press release this morning. But I'm also confident we will add more North American customers to the list over the next six weeks. So that's very exciting. Our ambitions do not stop there. At the recount, as you can see, we have 700 investment firms in North America that we want to target. But we are doing it, I would say, more specific and a little bit more concentrated than what we've done before, where we had a tendency of shooting of everything that moves. Now a little more say, all right, what really fits our value proposition and then we put a lot of effort behind that, both from a commercial point of view, but also in terms of making sure the investments we've done in the underlying value proposition that is North American-specific and all of the things that comes with that. We will continue. And that's obviously also a big part of what the new Managing Director will be focusing on is how do we take an even further step-up in being a fully 100% competitive in North American market when it comes to brand. But we leveraged the rest of SimCorp, et cetera, et cetera. So I would have to say, I'm a bit more -- for the first time, a bit more optimistic about the fact that there is a good volume of deals in North America. And we are also competitive in winning them with our improved value proposition. So that's very exciting actually on the SimCorp side when it comes to that. Let's remind ourselves of what we are trying to do as a whole towards 2025. So the ultimate goal for us now and leading into next year, at least until we've been very specific on the financial targets, we are putting, obviously, a lot of focus on annual recurring revenue. Ultimately, that will drive revenue growth. And we are certainly seeing that there's a lot of exciting opportunities coming our way, both in terms of new customers, but I also alluded to a couple of times the fact that our existing customers is committing to the bigger journey with SimCorp. So that generates new clients. It generates upsell opportunities. We have the cloud transformations. And at the same time, we are still very lucky to have a very high client retention rate. In the end, inside the SimCorp engine, that transforms into four buckets, if you will, of things that we are focusing on from a strategic investment point of view. And let me quickly just take you through each of those buckets. We are now on slide -- actually, there's no number on my slide here. We are now on Slide 14, where we have the four growth levers, platform leadership, SaaS acceleration, ecosystem scaling and in the end, a few words around what we see from a bolt-on acquisition point of view. So let's start with growth level number 1, the platform leadership. Here it's all about maintaining an industry-leading end-to-end buy-side investment platform, supporting all the key workflows and asset classes of the addressable market we are working in, in particular, front office, in particular, alternatives in ESG. But certainly also securing that the full flow inside our customers is as automated as possible. So in the end, you would argue that is the bread and butter of SimCorp that it has been for many years. But we continue to invest heavily into making sure this platform becomes more and more competitive and more and more comprehensive in the overall value proposition. Growth level number 2 is our SaaS acceleration. In the end, that is all about a highly competitive and profitable enterprise SaaS business. So competitive means it's attractive from our customers. Profitable means it's attractive for SimCorp. In the end that boils down to client cloud transformations, of which we have the potential is huge. And we can see that pipeline is still growing. And here, we also see that Q4, we have a very nice lineup of customers that is going to choose to commit to that journey. We have the whole BPaaS conversation around in particular operation, investment management and data management that is also moving. And actually, interestingly enough, the combination between the platform and the services catalog is really starting to become a unique value proposition for SimCorp. And then, finally, competitive advantages in TCO, because we have the underlying functionality in the technology already, which allows us to automate quite a lot. Growth lever number 3, the ecosystem scaling here. The whole idea is to help our clients succeed by a partner-based innovation into our ability, optionality and service delivery. Ultimately, a client-centric point of view that in the end allows SimCorp to be more competitive because we are more relevant and in the end, ultimately win more business on our customer side because we give them better value for money, but also commercialize, if you will, the more than 300 customers we have already. You can decouple that into fintech partnerships for innovation and optionality, extended offering via market reach, via servicing partnerships and JVs with the various custodians and asset servicers in the world and then obviously making sure that SimCorp connects with the rest of the financial world, whether it's through EMS marketplaces and other electronic venues, whether it's integration to primary settlement and custodian for us, doesn't really matter. It's about a 360 view on how SimCorp operates in investment management world. Growth level number 4, the bolt-on acquisitions. Obviously, the market is somewhat changing quite rapidly when it comes to multiples and technology. I would say it hasn't necessarily reached all parts of the private market. So I would say good technology is still expensive. But it doesn't mean that growth accelerated by a disciplined acquisition strategy and investment in partnerships is an integrated part of what we want to do as a company. We see various different variations on that theme. Either we strengthen the platform proposition via complementary functional capabilities, which we've done before, which actually works really well for us or we solidify our fintech partnership via strategic minority investments. We've done a few of those. And so far, they're moving in the right direction. But it's also fair to say that something that SimCorp has to learn as part of what we do. We are pushing forward on utilizing JVs with scalability. We are deep into now being fully live with the Challenger partnership we did in Australia. It's now been relabeled and rebranded under the brand name of Ortega. And we are already deep down in generating pipeline for that. But we are certainly looking for more JVs, other parts of the world. And in the end, we also can see these bolt-on acquisitions, either through JVs or through the other parts as a means to get more traction in priority segments, in particular, North America. So in the end, when we -- if you look inside the various meeting rooms in SimCorp, we typically divide our discussions and our capital allocation across these four sectors, platform leadership, SaaS acceleration, ecosystem scaling and bolt-on acquisitions. So with those words, let's go a bit deeper into the numbers. And then now for the last time, actually, it's Michael's last quarterly announcement. And before he does that, I just want to thank for a great cooperation over the years, Michael, and -- but over to you to give us the last update on quarterly results as SimCorp's CFO.
Michael Rosenvold: Thanks a lot, Christian. And I'm now on Slide number 21. And I will say for the Q3, we had a decent revenue growth of 16%, as Christian also said. And if you look at it adjusted for currency and thereby, as we haven't had any acquisitions, also organically the growth was 10%. The EBIT margin was 16%, which was lower than one year ago, where it was 22.6%, the main reason being that we have made some investments as also stated by Christian. And then we also had some exceptional costs related to supporting our colleagues in Ukraine. If we go to the first nine months on Slide 22, then, reported revenue growth of 6% and organically 2%, so 2% or 1.6% or close to 2% growth in local currency. The reported EBIT margin was 12% compared to 23% one year ago. Here, the lower EBIT margin was primarily due to lower license revenue and then exceptional costs related to Ukraine of almost €3 million and one-off costs related to our operating model restructuring program, which we talked about at our last webcast. And you can say, excluding these one-off costs of in total €8.6 million, the EBIT margin would have been 14%.If we go to the next slide on Slide number 23, our order intake, as Christian also stated, an order intake in Q3, which was almost €5 million lower than Q3 2021. That was not due to lower order intake of licenses, but due to lower order intake of data management, where we had quite a few data management or we have a large inflow of data management in Q3 last year, but not very much this quarter. As Christian also said, we signed two new clients in new geographies. And maybe what is impacting the order intake more positively is that we made a quite big strategic agreement in EMEA, which included both the front office risk, alternative investment and ESG, so a quite substantial additional engagement with an existing client. And we also had an addition in North America, where we sold front office to a back office client. We had two conversions in Q3, which increased the order intake of almost €9 million. And that was -- we also had two in Q3 2021. And there, the impact was €12 million. So you can say we had a lower impact from conversions in Q3 this year than we had in Q3 last year. Then, going to the order book. Looking at the Slide on Page 24, the order book was slightly up compared to last quarter. But if we compare to year-end, it's €11 million up. And if we compare to the same period last year, it's €24 million up. And you can say our subscription services like data management and so on, in the order book are at the same level as it was one year ago and the same goes for CDD. So that means that when we have a €24 million increase in order book, that is primarily related to licenses. Then going to Slide number 25, where we have the revenue development on the different revenue types. You can -- if we start with the license part where in reported currency, that went up by 10% in Q3. And if we look at it in local currency, it's closer to a 7% growth. Software updates and support, as Christian also said, grew by 3% in Q2 organically. And professional services, quite a lot in this quarter, by 70%.As Christian also said, we had some projects which we finalized and that had a positive impact on professional services. And again, also hosting, another fees grew quite a lot, which was primarily due to increase in fees from clients on a hosted solution, which is the natural part of our SaaS development. If we then take a deeper look at additional license revenue where it can both come from, you can say, off-selling, it comes from renewals and it can come from conversions, I would say the key takeaway is that additional regular license sales, you could say, upselling, that was €2 million higher than same period last year. Conversions was a little lower than last year and then revenue from renewals that increased from €3.5 million last year to €5.1 million this year of this quarter. If you take the nine months on Slide 27, then you can say additional regular license sales, so upselling was €4 million higher than same period last year. And for the period -- the nine-month period, we had four conversions, which was the same as same period last year where we also had four conversions. But this year, the impact from conversions were €3 million higher than last year on a nine-month basis. On Page 28, we are describing the two special cost items we have this year, which we also talked about at our last webcast. The first one is the unfortunate situation in Ukraine. And you can say, unfortunately, the situation has worsened since we announced last time as we do see the invaders being more aggressively targeting infrastructure in Ukraine. But I would say despite that, what we do see is that our Ukrainian colleagues, they are coping with this situation in a fantastic way. And we see almost no change in the daily work-related tasks. So I would say, in general, the impact so far on our operations in Ukraine are not significant. They are -- you will actually say they are insignificant. We have then supported our people in Ukraine in many different ways. And the total cost of that for the first nine months were close to €3 million. As we also talked about last time, as part of the transmission to a SaaS company, we did initiate an operating model restructuring program. And here, for the first nine months, we have had a cost of €6 million to consultancy and redundancy costs. So excluding those one-off costs of close to €9 million, the operating cost increased by 15% in local currency, which was as we expected when we entered this year. So that is on budget. If we then go to the next slide on cost development, you can see that cost of sales increased by 15%. That is, of course, to a very large degree related to the increased activity levels both in professional services, but also in our SaaS operations in general. And then it's due to the planned investments in SaaS operations and solutions. We are also investing in the future in terms of our R&D. And here, we had an increase of 29% of our costs, where we are investing in technology and new features. Sales and marketing costs also increased and quite a lot this quarter by 38%. And that's a combination of higher staff costs as we are developing our sales organization, but also that we had more meetings and we had higher travel activities than last year where it was impacted by lack of meetings and travel activities due to COVID. Admin expenses increased by €1.2 million which was primarily or almost solely related to our support of our Ukrainian colleagues and their families. The cash flow development, which is shown on Slide 30. We have to admit here that it has been a quite modest development in the free cash flow, especially compared to some very good years for the last three, four years. So a lower both cash inflow and cash conversion. So with a free cash flow still of €45 million, but lower than in last year reported. That also means that we have a quite strong focus on cash management in Q4 in order to try to regain some of the gap we have had this year. Then finally, our outlook for the full year, which is shown on Slide 32. As Christian said, our pipeline is strong. However, clients have become more cautious in making decisions during this quite turbulent macroeconomic climate. And consequently, we now expect to be at the lower end of the guidance ranges for 2022, which we announced in connection with our 2021 annual report. And that means that we now expect to grow revenue in local currency at the lower end of the range, 7% to 12% to grow annual recurring revenue in -- again, in -- at the lower end of the range, 10% to 15% and to generate an EBIT margin at the lower end of the range, 23% to 26%. And please, as we also stated last time, the EBIT margin guidance excludes the effect of expected exceptional costs of between €3 million to €5 million in relation to supporting our Ukrainian employees and the expected one-off costs of between €8 million and €10 million relating to our operating model restructuring program. And these numbers are unchanged compared to what we announced last time. My last slide before we go to the Q&A, a quite important slide actually showing what we need to sign in the last quarter. And you can see here that we need to sign between €98 million and €123 million of revenue in Q4 compared to €68 million last year in order to reach our guidance. And that is, of course, a challenge. And it's also clear that we are more backend loaded than normal, which has an embedded risk and uncertainty, especially in the current turbulent macroeconomic environment. On the other hand, as Christian also saying, our pipeline is increasing. It's maturing. And the pipeline we have now support that we can reach the guidance, but it will, of course, be a challenge to do so. By this, I will hand over to Q&A.
Operator: [Operator Instructions] We will now take the first question. It comes from the line of Daniel Djurberg from Handelsbanken.
Daniel Djurberg: I have a couple of questions from me, if I may. Starting off to start off with the comments you did right in the report that the forecasted EBIT margin in 2022 is impacted negatively by roughly two percentage points or 20 basis points from planned investments in the future growth opportunities you have, can you comment a bit on how to think for 2023? Will we continue to see an annual increase by 2% or where we see more apples-to-apples at some point in 2023 from these investments to start to level off or will we continue to see this for a couple of years?
Christian Kromann: I think there's two parts to that. So one part of that is what we also talked about when we did the guidance was that, that's ultimately an investment in a continued forward load in building up towards SaaS. And as I also said at that point, as long as there is a positive pipeline in terms of SaaS transformations, you will continue to see a forward load impact. What is very difficult right now and that's by our design is that that's very hard to translate that investment to the ARR growth because they are backward-looking. And that's exactly why we are changing that as of January 1.So once we go out and explain what to expect for '23, you will see a closer link between the ARR expectations and the cost expectations. So what I'm basically saying, as long as there's a pipeline, there was an increased investment level ahead of the curve, if you will. So that's -- I kind of hope that that will be the case because that means it's good. The other one was a 1% investment in a new value proposition. I think we are currently investigating and analyzing whether that was a good investment in terms of are we actually at the level where we want it to be. And does the market actually see that as a positive increase in our value proposition. And I wouldn't -- that I'm not prepared to say yet because I think the next six weeks will also be a good indicator of that. But what we can certainly see, especially in the North American market, the combination between our traditional value proposition bundled with an additional level of service catalog is really taking us into some really interesting deals that we haven't been in before. So that one, I reserve right to come back with more intelligence feedback on when we meet each other in February.
Daniel Djurberg: I look forward to that. And if I may also, at the Capital Markets Day, there was on APAC a little bit of a discussion on Japan in the pipeline, substantial orders seem to be closing in. Is this still around in the pipeline? Or has it then lost to any competitor or have to?
Christian Kromann: That's still there, but that's one of the deals that might slip into '23.
Daniel Djurberg: Perfect. And finally, if I may, on renewals, it increased quite well up to €5.1 million, I think, in the quarter from €3.5 million, also good, excluding FX. But can you give us a ballpark comment perhaps on how to look at the customer base, which is up for renewal the coming 12 months compared to the same base from the last year, if you understand the question?
Michael Rosenvold: I understand the question. So I would say for renewals, we do expect a little higher renewal next year than this year, not significantly. And then you have to wait until '24 to get something more substantial. So I will say, in general, renewals impact the numbers in '22 quite limited and the same goes for '23. And then you will see a tick-up in '24. So it's not like a material impact from renewals in both years.
Christian Kromann: And maybe also to clarify and you might all know that, but there is a technicality around renewals that the order inflow happens the day we signed the renewal, but the revenue happened today, the previous contract ramps up. So you might have years and quarters where there is a delta between the two, but we will obviously explain when they happen. And because, typically, if you are at least a normal institution, you don't wait until the last day to discuss renewals because -- and obviously, it's an important part of your infrastructure. So -- but there will be a bumpy road until you get to the years where there's kind of a large amount of subscription deals that was signed in the previous year. So yes, I think Michael said it right.
Daniel Djurberg: Thank you very much. That's all for me and good luck here in the coming six weeks. And Michael, a big thank you for all your efforts and good luck in your next adventure here.
Operator: We will now take the next question. It comes from the line of Poul Jessen from Danske Bank.
Poul Jessen: I have one about the fourth quarter and the guidance. When you at the Capital Markets Day stated that the pipeline was very solid looking into the fourth quarter and you now say that you have a bit more optimistic on North America, then two questions, why you some figures from fiber and you're more optimistic or in towards the lower end?
Christian Kromann: Maybe I can repeat the question and then you can say if it was right or not and then we can answer the question. But I think what you said was that at Capital Markets Day, we were talking about the pipeline and now we are saying that we are more -- I don't know if we are more optimistic. But we are optimistic about North America, which I think also we were at the Capital Markets Day. So what are the relationships between what we said at the Capital Markets Day and where we see it now, has something changed since then, is that a fair way of representing your question?
Poul Jessen: That's correct. And then, combined with the fact that you're in the guidance to the lower end range?
Christian Kromann: Yes. I think -- I don't think our mood has changed since the Capital Markets Day. I would say, on the contrary, deals are actually moving through the pipeline. But we also have to be honest and say, if you kind of multiply the volume of deals with the uncertainty and decision timing, then you get to what we are updating the market on today. So you should take that as a clear read that the deals are moving in the right direction. But there is a large timing risk around the end of the year, which somehow also means that there is a positive mood leading into next year unless the world takes another turn. I would also say a couple of those deals and maybe that's not news, but it is a reality, some of those deals do not have revenue impact because they are full-scale service deals which is obviously exciting from our transformation point of view, but not very helpful from an overall guidance point of view. But we will obviously be specific on those when we sign them over the weeks to come. So I would say nothing has really changed except for the fact that time is running and we are dealing with a somewhat volatile growth.
Michael Rosenvold: Which as then you can say, increase the execution risk of course.
Poul Jessen: Yes. Okay. And then on the professional service side, you had a nice growth quarter-on-quarter, as you said because of some completions of projects. How should we look at the fourth quarter then on the professional service, should that then be coming down versus the third quarter?
Michael Rosenvold: Yes. I think it's -- I think it will still be okay and good. But it will not necessarily be as good as it was in Q3. So you can say where we are really relying on is a license order inflow. This is where Q4 is expected to be quite strong also compared to Q4 last year. But PS or professional services, I think there, normally, we have a very, very strong Q4. And I think we have taken some of that in Q3 due to closing of projects in Q3 also.
Christian Kromann: But it also means that the on-site part of PS for Q4 is low risk.
Operator: There are no more questions at this time on the phone. Please continue.
Christian Kromann: Yes. I think we have some on the webcast.
Unidentified Company Representative: Exactly. We have a question from even now is how many dimension conversions processed from on-prem have you executed in this quarter and so far this year?
Michael Rosenvold: Yes, two conversions this quarter.
Christian Kromann: That I actually don't know. I think what we talked about for the full year was 5 to 10 and we're still within that range. And I think we've done a few, but that also means that we have quite a few more to do now in Q4. And that's intact, but that doesn't change.
Unidentified Company Representative: And I don't think we have any further questions.
Operator: We have further questions on the phones if that's okay. We will now take the next question. It comes from the line of Thomas Poutrieux from Exane BNP Paribas.
Thomas Poutrieux: So you show in the presentation that the gap you need to fill to reach the midpoint of the updated revenue guidance in Q4 is more than 60% above the corresponding figure achieved in Q4 2021, so three questions related to that. First, what's the contribution that we should expect from the deal that you just announced in North America for Q4 2022? Secondly, what's the current year-on-year pipeline growth? And lastly, given your comments on the clients becoming more cautious, what are your expectations regarding the evolution of the pipeline conversion rate for Q4 2022, again versus what you achieved last year in Q4 2021?
Unidentified Company Representative: Yes, I can start with the last one. And I think the last one is regarding the impact for conversions, what we expect there. And as Christian said...
Thomas Poutrieux: No, sorry, sorry. Sorry, no, it's the -- your assumption on the pipeline conversion rate, not the conversion that you're beginning to sign.
Christian Kromann: Thank you very much. I think it's -- I think the volume of pipeline is higher. But then obviously that depends on what metrics you're putting on to it, right? But I think we are -- we're to a certain extent, seeing positive volume of new customers across the board with a severe uptick in North America. But in the end, what carries the year home is what we do with existing customers in terms of transformation, et cetera. I would say at this time of the year, it's not kind of -- you know what deals that you are in the process of because it's not something that kind of people knock on the door and want to talk mid-November. You have already been selected. You are in legal discussions, et cetera. So the conversion is extremely high, both last year and this year. But the volume of deals on the table is higher this year compared to last year. Otherwise, it would be -- not make any sense to say what we are doing this morning. So it's simply a volume of deals is just higher across the board.
Michael Rosenvold: And it's primarily -- I think, of course, we are expecting to obtain new logos in Q4. And as you rightly said, we have already started with the first one in North America. But you can say the main part coming in will be with existing clients. So from a revenue point of view, it is primarily driven by the engagement we have with existing clients, where many of them is expected to engage at a larger extent with us. And thereby, we expect that to generate more revenue in Q4.
Unidentified Company Representative: So of course, more logos, but it's primarily revenue stemming from existing clients, which we expect in Q4 in order to have a higher signed revenue in Q4 compared to last year. And then regarding your question about the impact from the client in North America, we never disclose what is the size of a single contract because there is a confidentiality we need to bear in mind. And first of all, we have that obligation towards the client, but also we don't want to show to competition what is the pricing we have for a single client. But it's a Tier 1 client. So that also means, of course, that it's a decent revenue.
Thomas Poutrieux: All right. Understood. Just one follow-up, if I may. So you mentioned in the presentation, clients becoming more cautious in decision-making. Has it led to any deal slippage perhaps in Q3 already? And if that's the case, where are you seeing softness exactly from a geographical standpoint?
Christian Kromann: I would say, as it currently stands, probably Europe is most affected from the overall kind of both macro and obviously also the Ukrainian situation. Very different to be in North America, I was there last week again and kind of the mood is slightly different and all of these things. But that's also why because I think, as you all know, our existing client base has a high concentration in Europe. So the fact you already have the relationship is quite important. But I think the cautiousness in Continental Europe on new customers is somewhat higher than the rest of the world, which I guess is also shown in our current pipeline. So that's a bit how it works for now.
Thomas Poutrieux: Okay. Understood. And good luck, Michael, on your -- on the next steps of your career and life.
Michael Rosenvold: Thanks a lot.
Operator: We will now take further question. It comes from the line of Daniel Djurberg from Handelsbanken.
Daniel Djurberg: Just a follow-up, if I may, on M&A strategy that you pointed out that you will be prudent. I guess there is quite a few of fintech startups seeing valuation dropped in line with cash burn, et cetera. And my question is -- and I guess, they will need to be focus on margins and not perhaps so much on growth. But if you look at your ecosystem, do you see -- are there any risks that you will need to pursue some M&A to safeguard going [indiscernible] some of your important ecosystem partners? Or can you just comment a little bit on what you have seen in the exit around it?
Christian Kromann: Good question. So what we've seen is -- so remember, we kind of -- if you take away kind of custodians and all of that stuff because I don't think we can save them anyway. So if we look at the fintech partnerships that we have, then we have a bunch -- probably less than 10 where we have a high interdependency where we are going to market together, et cetera. Those companies are typically well-funded and larger in nature. So those guys are still continuing, I would say, at a relatively high pace. Then there's a couple of organizations that we have decided to put a minority investment into. Those companies have actually been very successful in getting funding also the last six months. So that's cool. If you take the wider ecosystem, then there are certainly examples of companies that we are loosely associated with that are redefining their strategy or even struggling. But the dependency is somewhat less than -- and because they are a little bit further away from being an integrated part of our value proposition, it's kind of the nature of what's going on at the moment. But I think the one we are closely associated with is in good shape, I would say. But we are certainly monitoring the rest as well because, obviously, that could be an opportunity for us as well. We normally don't go anywhere with kind of two startups, right, because that's a bit away from what we're trying to do.
Operator: There are no further questions on the phone, so I would like to hand back over to Christian and Michael.
Christian Kromann: All right. Thank you very much, everybody. I think based on everything we talked about, we will go out and sign some business. And when we are back mid-February, we will have a new Michael onboard as CFO. And yes, that's exciting to continue the journey with all of you. Thank you very much. And yes, I wish you a nice Christmas when you get that far.
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect.